Operator: Thank you for standing by and welcome to the APA Group 2021 Full Year Results Conference Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Rob Wheals, Chief Executive Officer and Managing Director. Please go ahead.
Rob Wheals: Good morning, everyone and thank you for joining this morning's call. I want to start by acknowledging the traditional custodians of country throughout Australia, and pay my respects to their elders past, present and emerging. Because of COVID restrictions I'm joining you today from our home on the Gadigal lands of the ordination in Sydney. We're like all Sydneysiders unfortunately I've been in lockdown since June. APA’s CFO, Adam Watson is joining us from his home on the Wurundjeri land in Melbourne. So where are we at? Well, once again, I'm pleased to report that APA delivered another solid financial performance in financial year ‘21. Compared with last year, our revenues were marginally higher, underlying EBITDA was relatively stable and within guidance range, and full year distributions are up 2% [technical difficulty] thanks to security holders. And I call it a no surprises set of results, with a reliable, solid performance that you've come to expect from us even in these challenging market conditions. We further strengthened our balance sheet with the debt refinancing activities we undertook earlier, and this has resulted in lower ongoing interest costs and higher ongoing free cash flow. And reflecting our confidence in the outlook, we have upped our distribution guidance for financial year ‘22 to $0.53 per security, a 3.9% increase on financial year ‘21. And as we said at the half-year, we are in execution mode, focused on the more than $2.8 trillion worth of opportunities we see before us in our chosen markets of Australia and North America. Let me move to the operational part of the business now. And front and center has been our focus on safety. We have made meaningful improvements in this critical area with 80% improvement in our total recordable injury frequency rate or TRIFR. Now, while that’s positive safety must and will remain an area of relentless focus. And we have again delivered high reliability operational performance for the year with 99.9% of our customers, gas transmission nominations being delivered. That means 99.9% of the time our customers are getting exactly what they asked for. And we've made strong progress across all four key areas of our strategy and I'll briefly comment on each in turn. Firstly, we have strong growth now forecast across the portfolio with our organic growth pipeline now in excess of $1.3 billion. And we continue to see the U.S. as an attractive market and, in fact during the period we participated in a process where we learnt a lot a bubble. We know that we can be competitive and we will continue to remain disciplined as we seek out opportunities in this market. Secondly, we've further expanded our new energy portfolio and capabilities through our Pathfinder program. Thirdly, we've made tangible steps to better support our customers and strengthen our stakeholder engagement. And lastly, we have continued to have a laser-like focus on creating value for all our security holders. Let me point now to some examples. At $1.3 billion of organic growth pipeline that I referred to earlier includes the three projects you see on this slide. The expansion of East Coast grid is a critical investment for the country, increasing winter peak capacity by up to 25%. So it's a quarter through a two stage expansion. This will deliver much needed additional energy security for Southern gas markets. We're also delivering the Northern Goldfields interconnect in Western Australia, and we continue to make good progress on project approvals. And our current schedule is to break ground in December. And we're pleased to be working exclusively with Snowy Hydro to develop the pipeline and storage link to the new Hunter Power Station, which was announced by the Federal government a few months ago. We make these investments with absolute confidence in the role that gas will continue to play well into the foreseeable future. When it comes to our energy mix gas is the workhorse of the grid. And it was gas and APA’s gas infrastructure that saved the day, when the energy system was recently put under enormous pressure by the perfect storm that was created by the recent Callide Power Station outage in Queensland, the flooding at Yallourn, production issues at the Longford gas plant capped off by a cold snap in Victoria. And it was the flexibility and the storage capability of APA’s East Coast grid that enabled us to step in and keep the heaters and the lights on in Victoria. This point was further underscored just last week when the ACCC highlighted just how important gas storage capability will be in managing supply and demand risks over the longer-term. And furthermore, they've highlighted that a gas supply shortfall remains a possibility and more needs to be done to ensure sufficient gas is brought to market. So while we remain confident about the ongoing role of gas, we are also very much focused on the challenge of the energy transition. And this energy transition offers enormous opportunity for APA to utilize our existing capabilities, and to broaden our business into other growing energy infrastructure markets. It's about making our vision to be world-class in energy solutions a reality. One of the exciting projects is the development of our first hybrid micro grid alongside the grid power station in Western Australia. And this strong demand from the mining sector for these types of energy solutions at both lower costs and emissions. Elsewhere, we are active in discussions with our customers in the Mount Isa region to bolster energy supply solutions and energy security. And back over in the West, we continue to make good progress on our project to potentially convert a section of the Parmelia Gas Pipeline to be 100% hydrogen-ready. And this is a really important project because we know that as technology develops our existing gas infrastructure will be vital to connect Australia to the energy solutions of tomorrow. Also, vital to our ongoing success is our relationship with communities. Through our national footprint, we have a presence in more than 170 that’s 170 local government areas across the country. And working with in strengthening those local communities is core to our purpose and the execution of our strategy. And I'm proud to say that right across our operations, our teams work hard to build strong and enduring relationships. And they do that through projects like the Gibson Island Rehabilitation Project, which is adjacent to the Roma Brisbane Pipeline. And there our Queensland staff donated volunteer hours to planting more than 1,000 native plants and cleanup events during the year. We've also established a new community sounding board to the business which is an industry first and that's through our stakeholder advisory panel. The panel includes a broad cross section of senior leaders in the industry, and will convene regularly to provide input and advice to APA on policy matters, strategic programs and plans. The panel will help us identify matters that are of importance to our stakeholders and communities. And importantly, will ensure that we now have a critical community voice at the decision-making table. The execution of our strategy is underpinned by our commitment to a sustainable future, which includes our ambition for net zero operations emissions by 2050. And we unveiled this ambition at the half-year, and at that time committed to announcing interim targets in financial year ‘22. And I'm pleased to say that work is well underway for that. We also launched our sustainability roadmap to create a further step change in the way we look at sustainability. At the same time, we've enhanced our approach to social performance. We're dialing up local content on our projects, in taking a more involved and inclusive approach to working with our stakeholders. We've also strengthened our focus on engagement with First Nations’ communities. And I'm really proud of the work the team is doing with communities on the Northern Goldfields interconnect projects over in Western Australia. And also, the care and effort shown by our people on the Victorian Northern Interconnect Expansion Project, which is included returning more than 2,000 cultural artefacts uncovered during work there during the project. And First Nations’ engagement will be an ongoing focus for APA into the coming year. We also continued to invest in the broader community and our people. More than $700,000 in support was delivered to communities in need during the year. This was through organizations like the Red Cross, Rural Aid, and the Business Council of Australia's [technical difficulty] further strides forward in our efforts to make APA an employer of choice. We did this by increasing our senior leadership, female representation by almost 7%, maintaining our place in the top 100 graduate employers, making the top 40 for our refreshed intern program and launching our new national apprenticeship program. Our people, our people are the key to our success and without their commitment, resilience, adaptability, and capability, we simply would not have been able to achieve what we have during this challenging year. They've tackled ongoing border closures, lockdowns and other health restrictions. And I've been so impressed by how well they have responded and kept delivering both on our strategy and for our customers. I want to take this opportunity to publicly thank each and every one of our nearly 2,000 people, as well as our myriad contractors and partners to support us around the country and for the hard work and dedication they've shown to make the results, we've announced today possible. So, as I wrap up my opening remarks, I think you'll agree we're a business very much in execution mode on the strategy we unveiled just six months ago. I'll now hand over to Adam Watson to take you through a deep dive into the financials.
Adam Watson: Thanks, Rob, and good morning, everyone. It has certainly been a challenging year for our communities and for many of our customers, and the impacts of COVID and the associated lockdowns are well known to all of us. And it's with this backdrop that we say our FY ‘21 results where we've been able to hold our revenues and EBITDA largely flat year-on-year, as evidence of our strong financial foundation, delivering stable, reliable returns for our investors. I'll talk to the detail behind the results in the coming slides. And importantly, we've made sure we call out significant items and other non-operational impacts on our results. So you get a clearer picture of our underlying performance. What is worthy of an early call out is our FY ‘21 distributions and $0.51 per security, which is up on last year by around 2% as Rob said, and it continues APA’s proud record of delivering strong returns for our investors. We've also guided to further growth and distributions in FY ’22, a demonstration of the confidence we have in APA's long-term future. I don't intend to go into the detail of our statutory results. But I will call out our profit after tax before significant items at $292 million, which is down on last year because of the flat EBIITDA and the uplift in depreciation owing to the expanding asset base. Our profit after tax is reported at $3.7 million was impacted by two significant items. The first was the non-cash impairment of Orbost, which was communicated to you back in February. And the second was the one-off bond note redemption costs associated with our March refinancing activities. And I'll touch on that later in the presentation. Our EBIITDA waterfall chart is designed to highlight the key movements that occurred during the year. I'll start with tariff escalation, it was up $22 million for the year once again reflecting the continuation of low levels of inflation. We haven't seen the recent increase in inflation materially flow through to our results yet because for the majority of our contracts, there is a delay from when the escalators kick in. Operating revenue was down $41 million, however, it's important to point out that this is an extrapolation of what you saw in the first-half, with no evident deterioration in the second-half. The negative impacts to operating revenue were driven by three primary sectors, which all reflect the challenging market conditions our customers are facing. First, we have seen many [ph] contract renewals in some parts of our business. The best illustration was a large customer in Queensland who was temporarily sourcing gas from the Northern Territory, but can now source its gas again from Queensland, thereby reducing its transport costs. Now that makes perfect sense. And they remain a customer of APA, but in the first-half this year, they took advantage of changes in gas supply when we were rolling over our existing transportation contract. Secondly, we also noted in the first-half, that a number of our customers in particular the retailers have chosen to reduce their contingency arrangements, including, for example, a major customer who reduced the contract with our Dandenong storage facility. And this just simply reflects the challenges they are under to maximize their earnings in these difficult market conditions. And thirdly, we have been impacted by the lower volume demand from the commercial and industrial sectors, who were impacted and continue to be impacted by the COVID lockdowns. This was most notable in Victoria, where we have a greater exposure to volume fluctuations. The shining lights of the period continue to be the performance of our business along the West Coast, where we've seen ongoing strong demand from our resources customers. In summary, again, against the backdrop of a $1.6 billion EBITDA line, whilst we don't like to see a net negative in our operating revenue year-on-year, we see the FY ‘21 performance as a solid result, again, given the challenging circumstances. Moving to some of the other items, we had new assets contribute $21 million from the Orbost processing plant, which commenced operations in late August 2020. We generated good returns from our asset management division. And finally, we had lower energy investment earnings because of the one-off dividends and shareholder loan note interest received from SEA Gas in the prior year in FY ‘20. Energy investment earnings were otherwise stable. Moving onto our costs, I'll firstly call out Orbost again, which had costs of $12 million in its first year of operations. Operations and maintenance costs were broadly in line with inflation, reflecting another solid performance from APA’s operations team. Asset management costs have reduced this year, primarily due to some one-off system upgrades that were made in the prior year. Our corporate costs reflect the intentional investment we are making to strengthen our capability. This is critical to ensure we are positioned to execute our growth opportunities and ultimately create sustainable long-term value for our investors. Our Investor Day in May was designed to share with you our areas of strategic focus, and to give you confidence that we are on the right path to make sure we have the necessary capability in place to grow. Our recent investments are consistent with that focus. We've established our Pathfinder program, and we have a team on the ground in Houston to support our ongoing focus on North America. We have enhanced our capability for our corporate and commercial development teams, which is already paying dividends evidenced by the progress we have made with our organic growth pipeline. And we have increased our project evaluation costs, having participated in several organic and inorganic growth opportunities during the period. We've also seen an increase in other corporate costs during the year. Some of this increase has been driven by market sectors, such as seeing more than $3 million of higher insurance premiums year-on-year. And there's also been a step up in compliance costs to facilitate obligations such as regulatory reporting requirements. But, most of the corporate cost increase has been driven by our intent to build the capabilities of the business, to take us into the next generation of growth. We are strengthening our investment in areas such as sustainability, community engagement, and cyber security. And we had a number of one-off costs associated with the development of the new APA leadership team. But again, all of these are important investments to ensure we can deliver growth over the long-term. As I discussed at our Investor Day, we've moved our distribution guidance to be based on a targeted 60% to 70% payout ratio of free cash. This was designed to ensure, firstly, that we cover our stay-in-business CapEx and then to balance our payment of healthy distributions with ensuring we are largely funding our organic growth projects from internal cash flows. When assessing our free cash flow performance, you need to firstly back out the $39 million we received last year in FY ‘20 from SEA Gas as a one-off distribution. We've had higher tax payments this year owing to the high taxable income in the prior years. The additional interest payments related to Orbost interest no longer being capitalized to the project. Our working capital was very positive, and this was partly due to the timing impacts from FY ‘20, which included a number of prepayments made last year for items such as our insurance premiums. We also received an $11 million contribution from a customer for capital works at the Orbost plant this year. And more broadly, though, I'd like to thank the team at APA for their strong focus on working capital during the year, especially the procurement team, which has been focused on improving our collection arrangements with our suppliers. Finally, you'll see that we had significantly higher stay-in-business CapEx in FY ‘21. And this is only largely to the scheduled overhaul of the Diamantina Power Station. While some of the topic of capital expenditure, we have seen CapEx grow across all markets this year, but for the East Coast, where FY ‘20 was influenced by the construction of Orbost. And if we were to ignore Orbost that shows that all of our markets are growing, which is obviously a very positive sign. Looking forward, you can see that we continue to make progress with our organic growth pipeline. It has grown a further $300 million since the first-half now at $1.3 billion for the next three years. And for some good context regarding the progress we made, when measured based on the value of the projects that achieved financial investment decisional or FID during the period, we’ve progressed $600 million of projects this year, compared to around $150 million in FY ‘20. That's a four-fold increase, which will no doubt pay dividends in future years. We know that a strong balance sheet is essential to support growth and to protect the financial interests of our investors. Against the backdrop of an already strong balance sheet, we executed a significant refinancing project in March this year, which has made our balance sheet even stronger. The project, which included raising $2.2 billion of new debt to replace a number of existing facility, increase the average tenor of our debt to nearly eight years. It reduced our average interest rate to around 4.8%. And it created a balance sheet capacity of around $1.9 billion as measured by our cash and undrawn committed facilities. There was a significant one-off interest charge associated with the bond note redemptions, however, when you take into account the ongoing savings from the lower fixed interest rates, the initiative was NPV positive and delivered a step up in our free cash flow generation. Our balance sheet puts APA in a very strong position to execute our strategic growth agenda. Looking forward into FY ‘22 and beyond, importantly, we expect free cash flow to continue to grow in FY ’22, despite the expectation that the challenging market conditions are likely to continue. As such, we expect FY ‘22 free cash flow growth will largely be driven by lower tax and interest payments. FY ‘22 distributions are guided to $0.53 per security, which will be almost 4% higher than FY ‘21. We have developed a distribution policy that is designed to get the balance right between paying healthy distributions, as well as funding growth. And as I said on the Investor Day, our security holders have overwhelmingly communicated their desire for APA to continue to focus on funding organic growth CapEx from our internally generated cash flows. In the longer-term, our recent investment in growth CapEx will translate into earnings growth, as the new assets come online. And supporting our pursuit for sustainable growth, we will continue to invest in building the capability of our business. We know our success in the past doesn't guarantee success in the future. So we are making sure we have the right people, the right systems, and the right processes in place to ensure we stay efficient, and we can grow at scale. To wrap up, our investment fundamentals remain strong. We're focused on delivering stable and reliable cash flows. We're focused on balancing strong distributions with the internal funding of our organic growth CapEx. We strive to be transparent and insightful with our investor communication. We maintain high levels of liquidity and are committed to our investment grade credit metrics. We have low cost of capital. We ensure we have a diversified pool of funding sources. And we remain disciplined with our investment decisions, as Rob said before. And we remain focused on ensuring our balance sheet supports this growth agenda. As always, I'd like to thank you for your time. And with that, I'll hand it back to Rob. Thanks, Rob.
Rob Wheals: Thanks, Adam. To wrap up, APA has again delivered a solid financial performance in financial year ’21, despite the challenging market backdrop, and we're very, very much in execution mode. Our organic growth pipeline is now $1.3 billion, up from $1 billion at the half year. Our balance sheet is strong and we remain confident in the outlook for APA, and determined to keep delivering for you as security holders, with distributions expected to increase again in financial year ‘22 to $0.53 per security. So in summary, we see enormous opportunities for this business to grow and prosper in the energy transition. And I'm confident that we have the strategy and the capability to deliver our vision and to keep APA always powering ahead. And with that, we'll now move to Q&A.
Operator: Thank you. We will now be conducting the question-and-answer session. [Operator Instructions] Our first question comes from Ian Myles with Macquarie. Please proceed with your question.
Ian Myles: Good morning, guys. Well done on the results. A couple of different questions here, maybe first on NGI. Maybe give us an update on how you're going on the contracting of the pipeline itself.
Rob Wheals: Thanks, Ian. It’s Rob, and I'll take that question and thanks for your comments on the results. It is another solid performance and one which we're very pleased about. In relation to your question, Ian on NGI, we continue to engage with customers, there's still strong demand. And you will recall that the reason we've gone down that path of building the NGI is because the Goldfields gas pipeline is currently fully contracted and we've got ongoing demand from customers. So we continue to engage the contract book, if you like, is, just as good as it was when we started this process, if not strong, and we make good progress on both the contracting but also the project approvals. And I think I mentioned earlier my comments that we are expecting to be breaking ground in in the December month, which will put us into a pipeline being available to be commissioned in the first quarter of financial year ‘23.
Ian Myles: And just an aside on that, inflation, I think people are talking about getting labor in WA is actually pretty difficult. Are you finding same challenge that you're having cost impacts as a result of that?
Rob Wheals: Yeah, look, the market is tight. But, there's -- I think it's fair to say that we did a lot of work ahead of time on that project to get our costing for the project well understood, engaged with the construction parties well in advance, got the long lead items, in terms of pipeline and compressor as well, well understood. And so we remain confident around the costs associated with that project.
Ian Myles: Okay. We saw yesterday you were talking about a gas import terminal in Victoria. So hoping you could give us a little more color, you reassigned Origin and they made the suggestion that the threat of import terminals and increasing competition. And how you're seeing the opportunities and threats of those import terminals emerging?
Rob Wheals: Yeah, look, it's an interesting one, Ian. As we know there's been talk of import terminals for -- I've lost track of how many years mostly least five years now. We haven't seen any yet being commissioned. Certainly, there's been lots of talk up and down the coast on different opportunities. But as a general comment with the outlook for gas, and I think in my earlier comments, I made the point that the outlook is that the Southern markets in particular will be tight in terms of supply with the declining production in Victoria. We see more gas coming into the system as a net positive. And the development of a project, like the one you mentioned, is effectively like another production source into the market. I think there's always going to be a challenging business case around these import terminals, particularly with those that might be looking to seek long-term off takes on LNG contracts. But certainly, I think there's that opportunity to provide swing gas capability into market arbitrage in the Northern Hemisphere, cheapest summer gas into the Southern Hemisphere winter market down here.
Ian Myles: One final question, you talked about opportunities in Mount Isa around your power station up there. I'm just wondering if you could give us a -- is it similar to what Alinta is doing in WA where they putting solar with the gas-fired plants and batteries? I guess, why haven't put a battery up there. And finally, on what you're seeing with copper string 2.0 and the threat there?
Rob Wheals: Look, I think the first thing Ian is we've been supporting that market for a very long time. We know it well. We've invested about a billion dollars of capital in pipelines in generation over the time the markets well served, and we've got a strong track record of reliable supply. One of the other things, of course we proud of is that the emissions intensity of the power station, there is half or less than half than it was in the rest of the NIM. But we continue to work with customers around different solutions that not only helped to lower the cost, but also helped to lower their emissions. And I'll explain that in just a moment that obviously for customers needing 24x7 energy, which is a reliable supply coming from a gas generator, but if they can take some of the energy supply from solar during the day, they can reduce the gas off taken. You will recall that most of what we do is toll as people's gas through our systems. So, that's an opportunity for customers to lower the cost, but obviously lower the emissions intensity further for their overall supply. In terms of copper string, we're watching this one closely. Obviously, what we are most wanting to see is a transparent process developed. As you know, a number of years back we competed in a competitive process against copper string one, and we won that competitive process. We're not afraid of competition. What we do want to see is transparency in what will develop in front of us. And we are encouraged by the fact that it appears the government will be running a consultative [ph] process. And I think that's going to be important to the costs and benefits can be understood, when EBITDA of infrastructure like this $2 billion and more, while the question is always going to be who's going to pay and we'd hate to see all of Queenslanders having to be slugged with additional costs in this instance.
Ian Myles: Well, that's great. Thanks.
Rob Wheals: Thanks, Ian.
Operator: Thank you. Our next question comes from Rob Koh with MS. Please proceed with your question.
Rob Koh: Good morning. My first question just goes to, I guess, revenue quality. And if you could just provide us some color on the kind of number of contract renewals that went into the year and the kind of resultant weighted average tenor if you have that data handy?
Rob Wheals: Alright. Good morning, Rob. And just in terms of revenue quality, I don't have the handy exact details to be able to answer your questions specifically. But, I think as you've heard me say on many occasion, in our business with $2 billion in excess of $2 billion worth of revenue, we've got hundreds of contracts. And during any one year, there's going to be multiple contracts coming up for renewal. And as Adam said, whilst we always like to see a net positive in this particular year, we've seen a net negative. As a general theme, and this will come as no surprise to you, on the East Coast, there's a general theme of shorter-term contracting, and that's just reflective of the market and where customers can source the gas. But that's to be compared and contrasted with over in the West, where we continue to see long-term contracting. And certainly for new infrastructure, we're always looking for longer-term contracts to support new investment, aside from the example, which in Ian Myles talked to or raised the question around earlier with the Northern Goldfields Interconnect, which is a particular case an example.
Rob Koh: Yeah, okay. That makes sense. And then if I turn to OpEx, and I really don't want to make too much of OpEx, because I take on board your comments about investing. But you have called out that there'll be continued investment in FY ‘22, could you just get some comments on, I guess, what do you think is the right level of expenditure?
Adam Watson: Hey, Rob, it’s Adam here. Look, we will always continue to focus on the long-term growth. So, you know our style, which is not to try and skimp today to impact tomorrow. So, we'll continue to invest in the areas which creates value. I think there's been an obvious shift over the last year or so into areas around community engagement, as I said before, and development and trying to drive growth and support our sustainability agenda. So we'll keep going on at that level. There's also opportunities to potentially take cost out as well. So look, I don't want to put in an exact number out to you. I'm not trying to suggest that it's going to grow materially next year, but if the opportunity is there to invest in growth, then we will do that, and we won't hide from that.
Rob Koh: Okay. Thanks, Mr. Watson. And just one last question, if I can, on an ESG front. You've talked to the targets for net zero emissions for the company, interim targets. Now, I guess your current scope, one and two emissions is only about one and a half million tonnes a year or not even after the measurement adjustments. I guess at the current cost of carbon net, it costs about $30 mil to $35 mil to offset, should we be thinking about the carbon reduction targets as kind of an earnings neutral? Or, is that a cost that we should be trying to think about?
Rob Wheals: Yeah, very good question, Rob. The short answer is we'll know that answer when we're finished doing our work over the course of this year. And there's a number of different ways obviously, to get to a particular outcome, putting a price on it and think of it in terms of offsets is one, but our starting point is always to see how we can reduce emissions and mitigate in the types of investments we make and the infrastructure we've already got in place. So some of what we will do will naturally come through rethinking how we run particular systems, reducing those emissions. And so we'll see some of the change. I, no doubt expect to come through some distance will make through our stay-in-business CapEx, which might come with a smaller price tag. So look, I think, let's wait till we've done that work, rather than speculate as to what the overall cost is going to be.
Rob Koh: Okay. Sounds good. Can't wait. Thanks so much. Cheers.
Adam Watson: And Rob, just going back to your first question, the weighted average contract loss still at around about that 11-years, so it hasn't been as much.
Rob Koh: Okay, great. Thank you.
Operator: [Operator Instructions] Our next question is from Tom Allen with UBS. Please proceed with your question.
Tom Allen: Morning, Rob, Adam and the team. There's a number of midstream infrastructure filled in opportunities, obviously, that are emerging across the upstream oil and gas sector at the moment. If I recall correctly, APA has said that you won't pursue those opportunities where the interest is purely financial. And that there needs to be a strategic case that delivered your expertise as an owner operator. Can you just elaborate on your criteria for these investments and whether or not that requires majority ownership, operatorship or some other broader benefits?
Rob Wheals: Good day, Tom. I'll take the questions. It’s Rob here. Look, I think you've almost answered your own question, because we own and operate energy infrastructure. And, that's one of the things that I think is been what the secret to our success over the last 21-years is that the skills that come with operating and leveraging the infrastructure and new areas. So a financial interest is not of particular interest to us. And I think that goes to probably more fully answer your question.
Tom Allen: But, if there are opportunities, Rob to that might include a minority or passive ownership stake, that still somehow provide you the ability to leverage that expertise, is that an opportunity that you would pursue?
Rob Wheals: Look, I think you can never say never. I'm trying to sort of paint the picture of where we start. But there's always a case by case situation, which you have to have a look at, and see whether there is a benefit. And, as you know, we have sold down some infrastructure over the years and put them into unlisted vehicles, where we do continue to operate because they've been lower growth investment opportunities. So I think, I've just provided some examples where on a case by case basis, we have done things like that, but as a general rule, we'll always look to want to focus on full ownership and operatorship. I think also, Tom, there's going to be lots of opportunities out there in the future. We've been very clear and transparent, the half year was our strategy, and more so over the last number of years around our focus on growth in North America. So we don't really want to be commenting on particular opportunities that might be in the marketplace, just to the minute.
Tom Allen: No, that's clear. Thanks, Rob. And just following up an earlier question, you've reported lower revenue over the year from your key gas assets in Queensland and New South Wales. They're recognizing that nearly all of those revenues are adjusted for the CPI. Can you provide a little more color on the contracting purchases you're seeing on those pipelines and the drivers of your confidence that your $270 million investment in additional compression on the Southwest Queensland pipe and the Moomba Sydney pipe are going to deliver strong returns over the life of the project?
Rob Wheals: Yeah. Look, I think just the first comment I'd make is that over this last period, we've seen low inflation, so the uptick that we get from the CPI is minimal flows through to revenues. Adam, I think, spent some time describing the sorts of pressures and customer decisions that we've seen on that have led to this dip down in operational revenues during the year. And when you think about it, they're all quite specific. The case example of a customer moving its gas source from Northern Territory to closer to its demand center. I think I've described before situation where you've got customers changing their supply mix, moving it from -- can't bring it from the South to the North, and then shifting it from the North to the South. So you're always going to see shifts in customers supply sources and therefore holiday contracts. But to your question around investing the capital at this point in time, and we've announced the 25% expansion to bring more gas -- 25% expansion in the capacity to bring gas from Wallumbilla through to Southern markets that total expenditure, as you mentioned, Tom is about $270 million. We've committed to stage one of that at the moment, because that's where we are very certain around the customer commitments and demand. And we'll commit to the other stage two pathway as when we get more confident. But in terms of revenues, we see a continuation on of the sorts of contracting that we've been able to achieve in the past.
Tom Allen: Okay. Thanks, Rob. And then just the last one, just with respect to the Wallumbilla Gladstone Pipeline, can you please just confirm that the annual U.S. CPI adjustment occurs in January, I think? So should we expect to see some favorable CPI adjustments flow through in your second-half ‘22 results?
Adam Watson: Yeah, Tom, that's right. And I think that's a lot of our contracts are actually started the county. I pointed out in my speaking notes that you do get that delay, whether it's six months, nine months, between the flow through to inflation. You can actually see that the way that flow through we had a higher contribution from inflation in the first-half relative to the second-half because of the way that the inflation has been moving up and down. So short answer your question, yes, we would expect it to flow through more strongly next year, but still pretty low number though.
Tom Allen: All right. Thanks, Adam. Thanks, Rob.
Rob Wheals: Thanks, Tom.
Operator: Thank you. Our next question is from Gordon Ramsay with RBC Capital Markets. Please proceed with your question.
Gordon Ramsay: Thank you very much. Energy transition, clearly, your investment in that area is going to grow over time. Just trying to get a feel for it’s all early stage, what kind of returns this generates in comparison to your existing core business at the moment because clearly, it's a very topical subject?
Rob Wheals: Yeah, thanks, Gordon. I'll make some initial comments and happy for Adam, also to make some comments. Look, I think, as a general rule what we've done is we've looked at the development of hurdle rates across a broad section of different energy infrastructure that we are going to invest in. Those hurdle rates effectively are derived through looking at the long-term weighted cost of capital and then adding on a bustle to give us that hurdle rate. And so for different classes of assets, we do have different hurdle rates. There's no doubt that the -- in particular, let’s call it in the solar, variable renewable energy space, it's hotly contested, very competitive, low barriers to entry. And we're seeing very, very tight returns on those projects. And so what we'll be doing in that instance, and we have done in the past, is to remain disciplined, and make sure that we get comfortable around the credit quality, the long-term nature of the contract and the returns, and in many instances, choosing not to invest. So I'll leave my comments there and just throw it to Adam, if Adam you'd like to add to that.
Adam Watson: Thanks, Rob. Look, I'll just repeat what I said at Investor Day that we have a strong sense of our cost of capital based on the different risk profiles of the different assets that we would have – we’re pursuing, thankfully, that risk profile is quite narrow. But nonetheless, there is a difference between certain assets, whether they're contracted or regulated. So, we look at that very regularly. We don't adjust as the numbers change. We've got to look at that through the cycles. We all know, things like cost of debt and the like will continue to change over time. And you have to take a conservative view that you assume that they're going to work against you over the longer-term. So therefore, you build that into your cost of capital, your hurdle rate assumption, so you can generate a return through the cycle. So, where we sit today, importantly, we're really competitive. And that's largely because we're very focused on making sure we've got a strong balance sheet. And it all sort of self-fulfilling because at the end of the day, if you've got a strong business model, investing in the right assets with a strong balance sheet then you've got good ratings and good access to capital markets, and it keeps feeding itself and that's our approach.
Gordon Ramsay: Lastly, from the midstream assets again, obviously the Orbost gas plant didn't go to plan and you've had a substantial write-down there. Is that something you need to be invested in longer-term, considering the performance of it and the issues that you've had, relative to the impact that it has on your profitability and balance sheet?
Rob Wheals: Thanks, Gordon. It’s Rob here; I'll take that one. Look, I think we've said this before that we've invested in gas processing plants before the Mondarra underground gas storage facility. Big part component of that is gas processing and gas processing in Queensland. And the gas processing plant at Orbost, what's different about it is the front end of the plant has a sulfur recovery unit, which is where the if you like the issues have arisen, the cell for deposition building up and impacting the processing capability. Look, I think our focus right now on Orbost is to continue down the path where we've headed, which is to improve the operating capability, the production. We've seen quite a step up in consistent production since we did what we called our Phase 2 works. And we've got some more works planned over the next six months to improve reliability of production further. And as to where we go from there will be a metaphor for ourselves to consider into due course. But, right now we're most focused on ensuring that production is stable and improved. We're working collaboratively with our customer, making sure that ultimately, these gas supply into a market that needs it.
Gordon Ramsay: Okay. Thank you very much.
Operator: Thank you. Our next question is from Nathan Lead with Morgan Stanley. Please proceed with your question.
Nathan Lead: Gentlemen, thanks for your presentations. First one from me, the asset management EBITDA $80 million there's been quite a spike in customer contributions coming through. Just I suppose where is the sustainable level of that asset management EBITDA going forward?
Adam Watson: Nathan, it's Adam here. Look that business does move around from time to time, depending on what services we're providing for our customers. And so it can be a bit lumpy. I think, you can see it being it's been growing consistently for a number of years. But, somewhere between that, I would say $60 million and $80 million mark is sort of an average level. And, again, it's always hard to predict because it often depends on the pipeline of services that our customers are requesting over. So I think with this guide I can give you is to just use the range that we've seen in the past.
Nathan Lead: Okay. Second one, the Wallumbilla Gladstone Pipeline the FX hedging, it doesn't look like it's being rolled. So I was just wondering as it's sort of getting closer to the end of the current program, what's your strategy there going forwards?
Adam Watson: Yeah, Nathan it's a good pickup. It's going to be rolled shortly. So there will be an impact in the FY ‘22 results. So there are a couple of hedging resets that occur over the next couple of years. So I'll say more to that probably at the half-year results, but the short answer is there will be a resets during the period.
Nathan Lead: So the aim is just to sort of continue to roll it on a short-term basis, Adam?
Adam Watson: The aim is to try and make it as stable as possible as you can in the longer-term. So I don't propose to be doing lots of short-term ones, but it's really also about the market conditions at the time. So we're not just going to wait until for it to be due before we roll it over. So we're doing work on that now.
Nathan Lead: Okay. And just the final one for me, just the claim filed against APA regarding the construction at the Orbost plant. Can you just talk through the -- I suppose the monetary risk involved in that. Is that potentially meaningful?
Adam Watson: Look if it was -- if we could measure it reliably, and if it was meaningful, then we'd be required to put something in the accounts. And all we've flagged is that there is a claim and claims on construction projects happen all the time. But it was a large construction project. I'm not saying it's a large claim, I'm just saying it’s a large construction project. And obviously, we don't comment on items that are in dispute.
Nathan Lead: Okay. Thanks, guys.
Rob Wheals: Thanks, Nathan.
Operator: Thank you. Our next question comes from Rob Koh with Morgan Stanley. Please proceed with your question.
Rob Koh: Hi, guys. Thank you for indulging me in return. Can I ask a question about the U.S. transaction that you said you’d participated in and came away with some learnings? I guess, just the usual disclosures here what did you bid on, what did you bid? How much did you miss that kind of stuff?
Rob Wheals: Yeah, Rob, how long have you got? Thanks for your follow-up question. I think the point of making of my comments there earlier was to highlight that, there's a lot of activity that Ross and the team have been looking at lots of opportunities, some of our opportunities that are available on in a cell prices, some just we identified and did some door knocking on. But the one that I made reference to, we were very competitive in that process. And I think that gave us a lot of confidence as to why we weren't successful in this particular instance, there's always a range of reasons. But I think one of the things that we have identified in I think, Ross made mention of that at our Investor Day, is that, some assets are whole business for sale and some are we, there's a call that of another business. And that just creates a little bit more challenges for a business like ourselves that doesn't yet have our platform on the ground. So I'll probably just leave my comments there. But suffice to say, we still remain very optimistic about the opportunities in that market, very attractive market. And, not only from the fundamentals around gas in North America, but the energy transition that's going to be underway, they will be great platform for growth for APA into the future.
Rob Koh: Okay, great. Thank you so much.
Rob Wheals: Thanks, Rob.
Operator: Thank you. There are no further questions at this time. I'd like to hand the call back over to Mr. Wheals for any closing remarks.
Rob Wheals: Well, thanks, everybody. Thanks for your time today. And I'm sure we'll be talking to many of you over the coming weeks. Thank you for your time.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.